Operator: Good afternoon, ladies and gentlemen. Thank you for standing by and welcome to the Corvus Pharmaceuticals First Quarter 2020 Business Update and Financial Results Webcast. Please note, today's conference is being recorded. And at this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time.It is now my pleasure to turn the conference over to Zack Kubow of Pure Communications. Please go ahead, sir.
Zack Kubow: Thank you, operator, and good afternoon, everyone. Thanks for joining us for the Corvus Pharmaceuticals first quarter 2020 business update and financial results conference call.On the call to discuss the results and business highlights for the first quarter 2020 are Richard Miller, Chief Executive Officer; Leiv Lea, Chief Financial Officer; and Mehrdad Mobasher, Chief Medical Officer. The executive team will open the call with some prepared remarks, followed by a question-and-answer period.I would like to remind everyone that comments made by management today and answers to questions will include forward-looking statements. Forward-looking statements are based on estimates and assumptions as of today, and are subject to risks and uncertainties that may cause actual results to differ materially from those expressed or implied by those statements, including the risks and uncertainties described in Corvus' quarterly report on Form 10-Q which was filed today with the SEC and other filings the company makes with the SEC from time to time. The company undertakes no obligation to publicly update or revise any forward-looking statements except as required by law.With that I'd like to turn the call over to Leiv Lea. Leiv?
Leiv Lea: Thank you, Zack. I will begin with a quick overview of our first quarter 2020 financials and then I'll turn the call over to Richard for a business update. At March 31, 2020 quarters had cash, cash equivalents and marketable securities totaling $68.7 million as compared to $78 million at December 31, 2019.Research and development expenses in the first quarter of 2020 totaled $10.2 million compared to $9.4 million for the same period in 2019. The increase of $0.8 million was primarily due to a $1.3 million increase in CPI-006 clinical trial expenses, partially offset by $0.9 million reduction in CPI-818 drug manufacturing costs.The net loss for the first quarter of 2020 was $12.9 million compared to a net loss of $11.6 million for the same period in 2019. Total stock compensation expense for the first quarter of 2020 was $1.8 million compared to $2 million for the same period in 2019.I'd like to note that we continue to carefully manage our expenses, especially in light of the COVID-19 pandemic. Enrollment in our trials with our three programs has been strong, in some cases ahead of schedule. This allows us to focus on monitoring and follow-up that makes us less dependent on new patient enrollment which has been affected by COVID-19.As Richard will discuss, we believe the overall impact of this slowdown will have a minimal impact on our ability to continue advancing our lead program ciforadenant. Given the COVID-19 situation and our advancement of the ciforadenant program with over 300 patients enrolled to date, we intend to deepen our focus on our lead asset as we develop our registration strategy and head towards a planned pivotal trial.As a result, we now expect full year 2020 net cash used in operating activities to be between $29 million and $31 million. This is an approximate $10 million reduction compared to our previous expectations of net cash used in operating activities of between $39 million and $42 million.I'll now turn the call over to Richard.
Richard Miller: Thank you, Leiv, and good afternoon, everyone. Thank you for joining us today for our first quarter 2020 business update. In the first quarter we continued to advance our pipeline of precisely targeted oncology therapies. Enrolling patients in our ongoing studies and presenting updated data on ciforadenant, Adenosine Gene Signature and CPI-818 at medical meetings.At the same time, COVID-19 due to global pandemic that changed the daily lives for most people healthcare providers, patients and businesses in the United States. At Corvus, the health and safety of our employees, clinical partners and the patients they serve is our highest priority.Accordingly, we have worked quickly to communicate and collaborate with our clinical trial sites to adapt our protocols to accommodate potential disruptions for patients enrolled in our studies. The updates we made were in line with FDA's guidance for conducting clinical trials during the COVID-19 pandemic and focused on ensuring patient safety and maintaining the integrity of the studies.In addition, we have been in regular communication with our manufacturing partners and there is currently no significant impact on our drug supply. I would like to thank our clinical trial sites for their partnership during this difficult period and I am pleased that there has been a minimal impact to our study so far.To date, we have not received any reports of major treatment or follow-up interruptions for patients already enrolled in our studies. Specifically, we have no instances of missed disease assessments and most significant variances in safety monitoring. There has been an impact on special studies, such as detailed pharmacokinetic assessments and on on-treatment tumor biopsies, as clinical sites shifted towards preparing and caring for the potential surge of COVID-19 patients. There has been an impact on enrollment of new patients in some of our studies.However, we believe the overall impact of COVID-19 on Corvus has not been significant to date. Prior to the emergence of COVID-19, we had very robust rates of enrollment in all of our trials, positioning us now to focus primarily on monitoring and planning for subsequent trials.CPI-006 is an excellent example. Following on the presentation of positive initial results from the study at ASCO last year, we saw an increase in interest and enrollments.As a result, we are tracking ahead of our internal enrollment plans for this program, having moved into the third and fourth arms of the study with CPI-006 in combination with pembrolizumab, which is now fully enrolled and triplet arm in combination with ciforadenant and pembrolizumab, both ahead of schedule. With ciforadenant, we have already completed enrollment of a 25-patient study designed to confirm activity in our biomarker-positive population.So overall, our current efforts are now focused on patient follow-up and on monitoring with the aim of collecting data analyzing results and designing follow-up studies. Of note, we will be analyzing our ciforadenant data in renal cell cancer in preparation for a meeting with FDA later this year to discuss our registration strategy and a pivotal trial.Turning to an update on our programs. Starting with ciforadenant, which is our small molecule inhibitor of the A2A receptor, we are now approaching a very exciting period for this program. We have a key abstract accepted for presentation at ASCO in late May. This data will provide an update on ciforadenant in combination with atezolizumab for the treatment of renal cell cancer and the role of the Adenosine Gene Signature as a potential predictive biomarker for patients most likely to respond to this therapy.Our confidence in the biomarker signature is enhanced by independent work from other groups that confirm its potential including an abstract that will be presented at ASCO from a leading academic institution. In that study, the prognostic value of Adenosine Signature in renal cell cancer is confirmed.We tried to meet with FDA in the third quarter to discuss the study design and plans for a ciforadenant randomized pivotal study in second third or later line renal cell cancer using the Adenosine Gene Signature biomarker. We will also be exploring the potential for a single-arm study based on the Adenosine Signature.As you recall, the signature identifies a very unfavorable group of patients, a new subset of renal cell cancer. And we believe positive biomarker-identified patients will do better with ciforadenant and do poorly with standard therapies. This provides a potential option in an area of unmet need.Moving to CPI-006, our B-cell activating anti-CD73 antibody. We continue to be enthusiastic about this novel immunomodulatory antibody, which has demonstrated dramatic effects on circulating immune cells with B-cell and T-cell mobilization and redistribution. We are not aware of any other agent antibody small molecule targeting CD73 or any other target that has exhibited these properties. As we have previously reported, CPI-006 has profound effects on B-cells leading to activation, transformation to plasmablast and secretion of IgM and IgG antibodies.In total, we have enrolled over 75 patients to date in our CPI-006 study, which is evaluating the antibody alone in combination with ciforadenant, in combination with pembrolizumab and a triplet combined with ciforadenant and pembrolizumab. We intend to present an update on this work at the SITC meeting in November later this year.One tantalizing new area is the potential to use CPI-006 as a therapy to enhance antibody responses. We have seen anti-tumor antibodies produced in some of our cancer patients treated with CPI-006. Last, on CPI-818 our ITK inhibitor, we have established its safety, pharmacokinetics receptor occupancy and optimal dose along with early signs of anti-tumor activity.Based on patient responses from the first portion of the Phase 1/1b study, we plan to move forward with the next portion of the study with an initial focus on cutaneous T-cell lymphoma. So far this trial has succeeded in providing important information about the dose, selectivity PK and target occupancy. This now positions us well for future studies not only in lymphoma but also in autoimmune diseases.In summary, we continue to make good progress with our pipeline. We have accomplished this with a very efficient use of capital across three programs in the clinic. Importantly, we have the potential to initiate a pivotal study of ciforadenant used with the Adenosine Gene Signature in renal cell cancer in early 2021. We'll make an important step towards this with the presentation of latest data on the program at ASCO. We look forward to providing an update at that time.I will now turn the call over to the operator for questions and answers. Operator?
Operator: Thank you. [Operator Instructions] Our first question today will come from Mara Goldstein with Mizuho.
Richard Miller: Okay. Mara?
Operator: Hi, your line is open. Sorry about that.
Mara Goldstein: Just a couple of questions and the first is just on the ITK inhibitor when you think about sort of advancing into next -- and the clinical path for that drug? What would be the most likely scenario in terms of clinical trial and understanding that you might not have a comparator, but how it fits in into the treatment paradigm? And then I'm just curious about in the triplet combination for CD73, ciforadenant and pembrolizumab. Is that one fully enrolled yet?
Richard Miller: Is that -- I didn't catch the end of that? Is it what?
Mara Goldstein: Is that the one fully enrolled yet? In that ciforadenant -- can you just kind of give us a sense of...
Richard Miller: Okay. The treatment is almost fully enrolled. I think, we still have one or two patients to go in it but they've all been identified. That will be fully enrolled and Mehrdad jump in here, if I'm missing something within the next week or 2. So the...
Mehrdad Mobasher: No you're accurate.
Richard Miller: Yes. So that's done. I think that we've done actually that. Did that -- that's been fully enrolled, now the question about ITK and how to think about it? So first of all the patient -- so the patients who has been enrolled in our study to date has been patients who failed everyone, every approved agent for those diseases. So any activity we see in the T-cell lymphoma patients and in cutaneous T-cell lymphoma patients in our studies is noteworthy because there are no other therapies for these patients. These patients are quite sick.Just to put that a little bit elaborate further. As you know there's a lot of therapies for lymphomas. Some have curative for these kinds of lymphomas, but they have some minimal activity. And it is recent patients coming on our trial with most of them. In fact with greater than five lines of prior therapy, so these patients are pretty deed up. So we think that activity – any activity in the patients that we've been treating is noteworthy.Of course the aim of our Phase I study of the portion of the trial we've done which is important to emphasize has been to determine dosing safety and target occupancy and effects on the immune system and things like that. And we've -- the trial has succeeded along these lines and I say every aspect. We've leaned the tremendous about this target and our drug.And in particular, there has never been to our knowledge a specific ITK inhibitor and we are learning on what the impact of very specifically blocking that target is. So that's what -- we're on that.
Mara Goldstein: Okay. And just to confirm you -- those selection of 450 full?
Richard Miller: So we're going forward with 600 milligrams...
Mara Goldstein: You are, okay. And just do you have a sense of the size of that kind trial given PTCL that patient population to begin with and the fact that you had -- these patients are going to have failed so many therapies around what size study you'll be looking for...
Richard Miller: So before we even try to -- well first of all we're still in the 1b part of this. So we're going to treat some more patients. We're going to get a feel for the activity and then we'll design the new trial and go from there. The nice thing about 818 is that, it's been very safe so far. And some patients have been on this treatment for every day for months now several months.And so it's very attractive now to think about this not only as a single agent. But as you know Mara most of our lymphoma therapies are combinations. And so we're also beginning to think now about what kind of therapies to put it together with how you move it up earlier in the treatment paradigm et cetera.
Mara Goldstein: Okay, all right. Thanks. Appreciate, I will hop off with somebody else back.
Operator: Your next question will come from Tony Butler with Roth Capital.
Tony Butler: Richard, a couple of questions as well. I want to go back to the CPI-006 study. And correct me if I'm wrong in clinical trials there were actually six cohorts. Is that correct? And within the presumption of 378 patients to be enrolled is that divided equally among those cohort 1a 2c and of course cohort 2a3c? So that's the first question.And then the second question again from the registration -- of the presumed registration trial for ciforadenant which you hope to start next year in second, third or fourth line RCC. So I'm curious how do you -- what form do you think that takes? Is it just previous failures as you know Atezo and/or a PD-1 have been -- or increasingly be used front-line. Will you simply use standard of care plus cifo, or would you throw Atezo in conjunction? I'm just curious how you think about that from both a control standpoint and also from a registration standpoint. And this is regardless of what you do with the single one trial. And obviously those patients will be all having Adenosine Signatures. Thanks very much.
Richard Miller: Okay. So Mehrdad, do you want to have actually both of those questions?
Mehrdad Mobasher: Sure. The second question in terms of the landscape, you're right. Almost all patients now do get immunotherapy in frontline PD-1s in front line. But remember what we have shown is the signature is that this signature identifies the patients who are not going to do well to the immunotherapy.So what we are doing is that we are giving them ciforadenant and the idea is that it will be in combination with the PD-1, PD-L1 given what we know also from the mode of action and resistance mechanism for those. And that's how these patients will be rescued. The study will be powered for signature-positive patients. Did I answer your second question?
Tony Butler: So maybe if…
Leiv Lea: Go ahead Richard.
Richard Miller: Go ahead [indiscernible] answers.
Tony Butler: No. No. Go ahead. I think you did answer. That's fine.
Richard Miller: I think we're [indiscernible] around positive. So the first question if I get -- because I can't remember everything that's up on clinical trials.gov. But basically Tony and we added some cohorts to this after it was started. So basically there were four cohorts. There are four cohorts in the study. 006 monotherapy, 006 together with ciforadenant the idea being that we brought two adenosines merge in the pathway. The third element was a doublet of 006 with pembro. And the fourth arm is all three together 006 cifo and pembro. We've enrolled all of those except for the final cohort now the triplet which is almost enrolled as we mentioned earlier.So after founding there were dose escalation in each of those cohorts because you have to establish safety in each of the monotherapy and the combinations although they were staggered a bit but we went from one milligram per kilogram up to 24 milligrams per kilogram. We found 18 milligrams per kilogram IV every few weeks to be the right dose for all across the board.So that's the base we're using for each of the four cohorts. Now within each of those cohorts they're -- there's the ability to extend to look at renal cell and lung and prostate and I think there's an other category. So there's sort of like four buckets for each of the four arms. And we have enrolled many of those. But as we've been conducting the trial we've tended to shift patients over, because that's one of the beauties of this trial is that we can find our patients over to maybe getting -- maybe looking more carefully at the combination versus the monotherapy.So, we're not going to show up every bucket of every four cohorts, because we don't think that's necessary and we've seen evidence that maybe some of the combinations are more important.
Tony Butler: Agreed. And if I may just continue on that theme. Correct me if I'm wrong, but I believe it is actually the triplet which had demonstrated some of the better data that we've seen often in small population to-date. So I can understand why you shift patients, but I just want to confirm that that was what you were seeing as well.
Richard Miller: Well, the triplet is -- we don't have enough data yet. The triplet is the last of the cohorts that we've been enrolling. So that has the least mature data, and the least number of patients at this point in time, but that of course will mature as we go on. There are something like over 30 patients on this trial now. Still on active therapy.So this is a work in progress. And one of the things that Leiv emphasized in his introduction and I tried to emphasize is we've really -- because our enrollment and our execution has been so good over the past year or two. We've really now loaded -- stack the -- loaded the fuel tank and so now we can run and treat these patients and start to look at the safety and efficacy data and the biomarker data and start to make some decisions.And that's why I don't think this COVID pandemic has impacted us very much, because we have really gotten most of what we needed from enrollment unfortunately before that happens. And so now it's a matter of letting this data mature. We have a lot of patients on therapy now across our trials. Now it's a question of likely getting mature analyze it. And as I said, go to the next steps after we figure out the answers. Does that make sense?
Tony Butler: Yes, it did. Thank you very much Richard. I appreciate it. Mehrdad
Richard Miller: So if you ask me, which is -- so you ask me, which of the four cohorts is better yet? I mean, there's a suspicion that the combination to a better. But I wouldn't say there's proof of -- there's no proof of any of that.But one thing that is absolutely no question, no -- absolutely no question now is the impact on the immune system. We believe in a very positive way. The impact on B-cells on lymphocyte trafficking on humoral immunity is profound. It's really, really amazing. And that occurs even at a dose of one milligram per kilogram.There's new biology here that has never been described before and it's not about adenosine. I can't rule that out, but we see these effects in vitro even when we take adenosine out of the equation. This is not going to be seen. We have other antibodies to CD73 that also block adenosine production reacquisition episodes. It's not about that. Recent antibody 006 is reacting with a different part of the CD73 protein that has an immunostimulatory effect, which by the way was first described back in the 1990s. And we knew that. So we don't think anybody that to our knowledge, we don't think any small molecule or any other antibody that we've heard about or seen has this property.
Tony Butler: Richard, thank you very much. Appreciate the color.
Operator: [Operator Instructions] Our next question will come from Swayampakula Ramakanth with H.C. Wainwright.
Swayampakula Ramakanth: Thank you. Thank you, Richard. How are you doing this afternoon? I have couple of questions. Since I've been jumping between calls, you might have answered this, but nevertheless let me ask you this. So on the ciforadenant program in the Phase 1b/2 study, there was some data expected at ASCO. So what, sort of, data should we expect at that conference? And also what's the path forward beyond the Phase 1b/2 study that you're talking about?The second question is on the 818 of Phase 1b study. What's the time line for data there? And what is the expectations for the next -- for the development process from here?
Richard Miller: Okay. So let me start with the ciforadenant and then I might ask Mehrdad to comment as well. So recall that we published in January in cancer discovery Larry Fong from UCSF is the first author. He published data on 68 patients with advanced refractory mostly PD-1 failure renal cell cancer. And in that paper, we showed in patients who were Adenosine Signature positive there was a 17% response rate by resist criteria. There were also many patients who didn't quite use the criteria for PR that had substantial tumor regression. We also showed that there was a nice plateau, a long-lived plateau on the progression-free survival curve. And that was statistically significantly associated with Adenosine Signature and was not -- nobody responded, zero, in the Adenosine Signature-negative population.Well we, of course, we knew about this data before the publication in January. And we said, okay, let's prospectively this is an observation now, let's prospectively corroborate that. And so we set out to enroll approximately 25 patients. I think we've enrolled 26 or so. And those 26 additional patients are both Adenosine Signature-positive and negative. Plus again we have to confirm the data not only for the positives but for the negatives. And those additional patients with the follow-up that we have, again some of the follow-up are short on those additional 25, 26 patients. That is going to be the subject of our ASCO abstract. And I can -- I mean it's not going to be a surprise. The data is holding up. And we expected it to hold up. It's holding up very nicely.In addition at ASCO as I mentioned in my remarks there's very nice paper by workers at Sloan-Kettering I guess I can say the name in hundreds of patients where they basically looked at the Adenosine Signature independent of us and said what's the prognosis of these patients and they find exactly what we do. That if you're Adenosine Signature-positive, you have a very bad outcome. And if your -- and those -- of course the Sloan-Kettering patients are not treated with invention antagonists. That's they use standard therapy. So we feel pretty good about the signature now.Now in terms -- so that sets us up for a biomarker-defined trial. Now, I should say that, we've also found, in our initial work we found about 60% of patients with renal cell cancer are Adenosine Signature-positive. I think our most recent data is like 68%. So it's in the same neighborhood. So it's probably 60% or two-third or so of patients are signature-positive. So it's a substantial fraction of the patients. And they do very poorly our work Sloan-Kettering work and work of other companies that we've talked to. I don't think there's any question that we've identified frankly a new disease, because they do so poorly. And this is the population that our drug is active in. And this is – sets us up for a very nice trial, where we can – where we have some options now. We can take everybody, and do some sort of hierarchical analysis so we can just focus on the signature-positives. And those are the things that we'll be deciding in the coming months.But Dr. Mobasher is working with the experts top people in the field in renal cell cancer. They're well on the way. There's a protocol. There's – that would define and a pivotal randomized trial. So, I'll let him comment some more on that. Mehrdad do you want to then just talk about generally what our plans are on that.
Mehrdad Mobasher: Yeah. Yeah. As we mentioned, the plans based on the initial data that we have identified this COVID patient population that they actually need new treatments. And based on our data, we think these are the patients who would benefit from our treatment. So we have formed steering committee. We are working on our pivotal data that will be powered in signature patients. And that's the path that we think is a meaningful path. That will be discussed without the party.
Swayampakula Ramakanth: Thank you, Richard and thank you, Mehrdad.
Richard Miller: All right. Now on the – you also asked about 818 time line. So the 818 time line is we're going to enroll some more. We're following the patients that are on the study now. We're going to enroll some more patients with cutaneous T-cell lymphoma only, because we think that's a very appropriate disease for this drug, frankly, you could make an argument to enroll more patients with the other T-cell lymphomas as well, but we're trying to focus a little bit here. We're also getting very, very interested as other people are in some of the other immune disease applications. And we're starting to look at that. We think this might be a very interesting disease in other immunity. We don't work in that area, so much our self, but we've begun collaborating with certain people at NIH for example. So I think ASH meeting might be a good place for us to give an update on that, but we'll see how things go there.
Swayampakula Ramakanth: Great. Appreciate that, Richard. Thanks.
Operator: Thank you. Next, we'll hear from Gabriel Fung with Mizuho Securities.
Gabriel Fung: Hello, guys. Yeah. This is Gabriel from Mizuho Securities actually in addition to Mara. Congrats with team. It's good to hear a pivotal program around the corner. And just a follow-up on, what you said on the pivotal study. Do you think that will be required for a ciforadenant – sorry for outcome results to be compared directly to Adenosine Signature-selected arm? And how do you think that will change the market opportunity? I mean, you mentioned already that it will be 68%. Approximately 68% of the patients are adenosine-positive. How do you think this could actually maybe be used in earlier lines if that's the – given that this works Mehrdad.
Richard Miller: Thank you. So, Mehrdad, do you want to take that? .
Mehrdad Mobasher: Sure. In terms of whether the – a fairer study would be enrolling every one or would be enrolling just the signature-positive patients. All that data until now suggests that signature-positive patients are the ones who have objective responses. And as Richard mentioned earlier, they have actually pretty long duration of progression-free survival that has given us a tail in that curve. From the operational perspective, both are viable options. And that is what we are trying to actually fine-tune in cooperation with our steering committee and also with the health authority. I think that was the first part of your question. That's the way I answered it.And for the second part, we think this would be a perfect treatment in terms of treatment landscape for second-line and third-line patients, because these are the patients that are getting immuno-oncology treatment. And based on again mode of action, we believe these are the patients who would not respond and they will respond well to our treatment. But in oncology typically, you want to rescue patients in early on. There is a potential to move this treatment in combination with ciforadenant, whatever the background will be is frontline, as well, but that is not our focus now. But that's something we're looking into in the future.
Richard Miller: Yeah, that's a good point, Mehrdad. I would like to -- just to add to that. One of the nice things about ciforadenant and we now have data like over 350 patients. We have patients who've been taking this drug now for over a year. I think we have some over two years every day.
Mehrdad Mobasher: Three years.
Richard Miller: Three years – sorry, you're older than I thought Mehrdad. So this drug and we've already been asked about this would be very, very easy to combine from a safety standpoint with front line stuff. So there's no question there like many drugs we try to get approval in the late-line and then we move it up earlier. Now renal cell cancer is changing a lot. Obviously, the landscape is changing very quickly. Patients are living longer. They make it the second third, fourth, fifth lines of therapy. It's becoming somewhat like a chronic lymphomas in a sense. And that expands. Now you're in the point when you start to think about not entrance of the disease, but the prevalence, the prevalence is probably going to increase. And this is something we actually had predicted three or four years ago.Now in terms of the market, so I think the market for us for renal cell would be very, very good. Certainly as a small company, it's attractive. But don't forget the Adenosine Signatures in other tumors. And we've been looking at that. In fact, we have a paper that was just submitted for publication by Steven R. Hwang and Drew Hotson that is looking at -- that has looked at that and shows the distribution of the Adenosine Signature from TCGA data. And it is present in other tumors. So it leaves us to identify which tumors or drug will be applicable to the -- based on the use of that signature. So that's more work to be done in the future. But I wouldn't -- I think it would be wrong to just limit this or think of this, just as a renal cell cancer therapy. The biology is very, very similar very similar for all those.
Mehrdad Mobasher: Right.
Richard Miller: And one of the things you'll see on our abstract -- and it's in our abstract, I guess the abstracts haven't published yet. If Adenosine Signature is just related to other things and other cell infiltrates, myeloid cell infiltrates. Other people refer to this independently as myeloid signature. And we've identified those myeloid cells that's going to be in our ASCO presentation. So those myeloid cells are not just immuno-cell cancer there are many other cancers as well. So I would say the upside of this is the potential application in tumors outside of renal. But just to back up a second. Identifying a new subset of the disease based on a biomarker. It doesn't happen every day. And so I'm very proud of my team, scientific and clinical team and biometrics team identifying a new category of a disease is a big deal and that makes a career. In academic medicine that's a career-making move. And you think about that, you think about these other cancers and how we now talk about squamous versus non-squamous.Well there was a day when we could differentiate those were Hodgkin's lymphoma and non-Hodgkin's lymphoma. Again, there was a day when we didn't know what the difference was, were diffuse large B-cell lymphoma from follicular lymphoma. Again, it took real breakthroughs like this to determine to differentiate these diseases that we didn't guided the therapy that gave greater opportunity to develop drugs because then you know what the differences were in these diseases and what you're going to look for. Otherwise, you're treating a bunch of different things with different biological morphologic and clinical characteristics. So that's a big, big deal. Now we've got to try to make drugs that cure it. And that's what we're trying to do.
Gabriel Fung: Awesome. Actually that leads me to a really quick follow-up, because I know you have also programs they are not wrapped around cancer and prostate. What are your sense -- what are you [Indiscernible] from those?
Richard Miller: So well prostate, we just presented data on that a couple of months ago. We see activity in prostate. I think other people are reporting some activity in prostate. With that our patients on that trial, we're following them. We're looking -- we're interested in what the long-term outcome is on those patients. We'll probably do more work in that area, but I'm not sure what that is right now. Again, we're looking for prostate to competitive area. There's lots of good treatment. So it's not good enough to just be active. You have to have some advantage. So -- and on the lung cancer, we're following patients on the most of these program with Genentech. I think there's some plans to maybe present that data at ESMO. I'm not sure about that. It's a small number of patients, so I don't really know what to expect from that.
Gabriel Fung: Got it. Thank you.
Richard Miller: All right.
Operator: And at this time we have no further questions in our queue. I'll turn the conference back over to our speakers for any additional or closing remarks.
Richard Miller: Okay. Thank you, operator. First of all, thank you very much for joining us today. This is unusual time. We're happy that all of you could participate in this call. I enjoyed speaking with you and we look forward to giving future updates some very soon at ASCO and beyond that. Thank you very much.
Operator: Thank you. And that does conclude our conference for today. We thank you for your participation.